Operator: Greetings. Welcome to The Trade Desk First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Chris Toth. You may begin.
Chris Toth: Thank you, operator. Hello, and good afternoon to everyone. Welcome to The Trade Desk first quarter 2025 earnings conference call. On the call today are Co-Founder and CEO, Jeff Green; and Chief Financial Officer, Laura Schenkein. A copy of our earnings press release is available on our website in the Investor Relations section at thetradedesk.com Please note that aside from historical information, today's discussion and our responses during the Q&A may include forward-looking statements. These statements are subject to risks and uncertainties and reflect our views and assumptions as of the date such statements are made. Actual results may vary significantly, and we expressly disclaim any obligations to update the forward-looking statements made today. If any of our beliefs or assumptions prove incorrect, actual financial results could differ materially from our projections or those implied by these forward-looking statements. For a detailed discussion of risks, including the most recent economic volatility, please refer to the risk factors mentioned in our press release and our most recent SEC filings. In addition to our GAAP financial results, we present supplemental non-GAAP financial data. A reconciliation of the GAAP to non-GAAP measures is available in our earnings press release. We believe that presenting these non-GAAP measures alongside our GAAP results offers a more comprehensive view of the company's outlook. (ph) I will now turn the call over to Co-Founder and CEO, Jeff Green. Jeff?
Jeff Green: Thanks, Chris, and thank you for joining us today. As many of you know, in Q4, we experienced a setback as we undertook the most significant company upgrade in our 16 year history. I won't revisit the details today, but as company scale and complexity increases, changes and upgrades become necessary to unlock the next wave of growth, that's exactly what we did, and now we are beginning to see encouraging signs that the changes we made were the right ones. As you've seen from the press release, despite increasing economic uncertainty, we showed incredible resilience, growing revenue 25% year-over-year, far surpassing our own expectations. We continue to grow at a rate significantly higher than the broad digital marketing industry and gain market share. As you know, we have a long history of setting goals and hitting them. We're happy to report that we did it again. We also have a long history of growing faster than all of the other scaled players in our industry, and we did that again too. Today, I want to focus on just three topics. First, the macro environment. Second, the open Internet and some of the significant changes and market shifts that have happened recently. And third, all of the upgrades we've made at TTD, including the latest updates to Kokai. First, the macro environment. As I mentioned before, Q4 was relatively stable, though signs of volatility were building beneath the surface amid a contentious election cycle, that pressure intensified in Q1 with growing concern among clients. As you know, our primary clients are the largest brands in the world and the agencies that serve them, all of whom are navigating increasing volatility so far in 2025. This makes us especially proud of our performance in Q1. Our team clearly demonstrated that we are committed to growing our business in any environment. And in this environment, we aim to be a source of vision and stability for our clients. We knew that we had something to prove in Q1, and we're proud to once again say, we beat our own expectations. Programmatic advertising is extremely agile. Because our technology buys one impression at a time and evaluates every single impression, we can adjust quickly. We also can be more data driven than the other forms of advertising. So, in an environment when CMOs and CFOs are trying to do more with less, we can provide them with the tools and the results that they're looking for. Most CMOs and most CFOs are planning for a range of macro scenarios, and we are often a trusted partner in helping them strategize. When the large brands are facing comparatively tough times, we are focused on grabbing land. In macro environments with headwinds, our short-term success is better measured in how much land we grab. In this environment, we want to win market share from our competitors. We did the same thing during the pandemic. While consumers stayed home to stay safe, they also accelerated their move to streaming. We adjusted our business to work-from-home and we grabbed land. In other words, we won share from everyone else. Headwinds have historically accelerated the move to programmatic because of its data, its control, its agility and of course, its performance. But those same headwinds have also accelerated the market share gains of The Trade Desk, which is a good segue to topic number two. So let's now talk about the open Internet and its recent changes. I want to share something that we put in The Trade Desk business plan 16 years ago, before we'd written even a single line of code. We argued to potential investors then that at end state, there will be 10 or less scaled DSPs. We think most of them will be conflicted. We thought then that most DSPs would compromise their objectivity with buyers in order to promote their own content. Walled gardens bias their own content at the expense of media buyers who look to seek value and performance across the entire ecosystem. The walled garden business models are inherently flawed because over the long-term, their fiduciary duty to grow for shareholders is at odds with what is in the best interest of the agencies and advertisers, which is to objectively buy media from all over a competitive, massively scaled digital media landscape where no single company can possibly own all of the good media. The Trade Desk is pointed at the entire open Internet and nearly all of global advertising will be transacted programmatically at end-state. We are convinced that based on the current landscape and current competitive set, we are the best-positioned to win the lion's share of market share at end state. We simply need to execute between here and there. But so far this year, there have been some massive shifts that have significantly upgraded the prospects of the open Internet and The Trade Desk. Here are a few of them. First, Google has been declared an illegal monopoly in two separate instances in 2025 by the U.S. courts. Of course, the same has happened in various government cases all over the world. Google and Meta have both been under scrutiny for auction mechanics. In the recent lawsuit filed against Meta, the complaint argues Meta used a flawed blended price auction process to price and implement advertisements instead of the second price auction process it purported to use. In the Google trial, the judge concluded that part of the violation of antitrust laws was the result of the implementation of first look that required publishers to use DoubleClick for Publishers, or DFP, to offer Google's Ad Exchange, AdX, a right of first refusal for each ad impression. This had the effect of allowing AdX advertisers to win auctions even when advertisers on rival exchanges were willing to pay higher prices for the impression. They concluded that the use of last look was also problematic and illegal for Google to use in their deceptively named product, Open Bidding. Just a few days ago, U.S. federal judge ruled that Spotify can have a payment relationship directly with the consumer that is not mediated via Apple. As Associate Director of Communications and Government Relations of Spotify put it, after nearly a decade, this will finally allow us to freely show clear pricing information and links to purchase. There is more work to do, but today represents a significant milestone for developers and entrepreneurs everywhere who want to build and compete on a more level playing field. In our opinion, this creates a very significant boundary for the draconian tactics of the walled gardens. Fourth, Google announced that it is not going to eradicate cookies from its market leading Chrome browser. So naturally, you may ask, what do all these changes mean for The Trade Desk and the open Internet. First, we've been winning share in the DSP race year-after-year and quarter-after-quarter, and we've done that in an unfair market. We think the signal that comes from all of these shifts is one that points to a more fair and more competitive market, which is what we built our business for. Our model is designed to compete. As we've said before, if we can win share in an unfair market against the biggest tech players in the world, as we have over the last 15 years, imagine what we can do in a fair market. As it relates to cookies, the reversal is helpful for display advertising and browser based advertising, but that is a small percentage of our business at this point. The more important takeaway from that shift is that our view of the world and vision for the future is getting closer and was validated once again. Google used privacy as a shield to do anti-competitive things. We responded and found a way to win anyway. 2025 may have some macro headwinds, but the open Internet has never been in a better place than it is today. Many have asked what the likely impact of the most recent DOJ victory over Google will be. I think the courts are slow. However, I do expect most walled gardens to behave differently. Google is already beginning to turn down and turn off some of the draconian and illegal practices of the past. This will create a fairer marketplace. While these changes impact the buy side less than the sell side, I expect that the supply chain will be more competitive, which is good for both the buy and the sell sides of the supply chain. The restraints and changes in behavior that we're already seeing from these companies are expected to continue. And as a result, SSPs will finally be able to compete, and the net effect of these changes is a healthier ecosystem and a thriving open Internet. As I've mentioned on these calls before, I have long believed that Google essentially acts as the defendant, the plaintiff, the judge, the jury, the court reporter and the bailiff in many ad transactions. This conflict of interest is clearly not in the interest of advertisers who want to bid on and buy ad impressions in a fair [Technical Difficulty] may take some time, I believe it's imperative that Google relinquish some of the roles that they currently play in the marketplace. Doing so will significantly improve competition, transparency and fairness in the ad market for all participants. I continue to believe that Google will stop trying to monetize the open Internet and instead focus more on their destinations. I expect that Amazon will continue on the same path. DV360 is primarily technology to buy YouTube. Amazon's DSP is primarily a product built to buy Amazon's Prime Video, which is a good segue to my last point about the open Internet before I discuss and focus on The Trade Desk. Because of the pressure on consumers over the last two quarters, CTV and streamers have invested more into advertising. We're seeing more supply than demand in all forms of advertising, but that is especially important in CTV. In general, this dynamic makes for more of a buyer's market. But additionally, this is having a great impact on market dynamics. As a result, in general, CTV companies are once again leading the supply dynamics of the open internet. They are plugging directly into our demand. They are also describing their supply in greater detail than ever. Nearly every scaled player has adopted UID2, and those that have not are under-monetizing their inventory. We expect that the market dynamics are going to create the best ad-funded television experience for consumers in the history of television. They will see fewer ads, they will be personally relevant, and these fewer ads will make more money for content owners than linear and broadcast ever did, and they will perform better for advertisers per dollar than spray and pray ever did. Let's not forget something that we've asserted for the entirety of this decade. CTV is the kingpin of the open internet, and the open internet is where all of the most beloved content of the internet exists. The open internet monetizes movies, television, journalism, music and sports. This change in market supply and demand is a good transition to the things that are happening at The Trade Desk. One of the most important upgrades we're making at TTD is to the supply chain of programmatic itself. Innovations such as OpenPath are very important to the future of the open internet. OpenPath is gaining wider adoption across the industry, and as a result, advertisers are getting clear line-of-sight into exactly what they are buying. And it also provides publishers with a much clearer view of what advertisers are willing to pay. We are seeing example after example of the benefits that OpenPath is providing. Arena Group publishes major titles such as Men's Journal and Parade. They boast more than 100 million visitors per month. With OpenPath, they were able to increase their fill rates by 4x, and improve programmatic revenue by 79%, all because they are able to provide advertisers, our clients, with clear visibility into what they're buying. I could list dozens more examples. The New York Post saw its digital advertising fill rate increase more than 8x, and programmatic revenue increased 97% with OpenPath. In the world of CTV, VIZIO saw its programmatic revenue increase 39%. And another major network saw their fill rate increase 7x, leading to a revenue increase of over 25%. To be clear, OpenPath does not represent The Trade Desk getting into the supply side of the market. OpenPath is not built to help publishers with yield management or ad serving. We're very hopeful that innovations like OpenPath will prompt supply chain innovation and efficiencies across the industry. And if we accomplish that, we will help our clients put more ad dollars to work. We don't expect OpenPath to be the only supply chain for us. We don't expect it to even be the primary one, especially given the fact that SSPs now have a better chance to compete than they did before the Google verdict. However, OpenPath is a canary in the coal mine that helps us better understand the supply chain. And often the games and tactics of obfuscation are best discovered through some form of A/B testing. OpenPath is keeping exchanges and SSPs in check so that we don't have to wait on government to untangle corrupt practices like those recently exposed at Google. Another massive upgrade we have made to improve the supply chain was the acquisition of Sincera. Most outside of AdTech don't know the company. So for the uninitiated, Sincera is a metadata company that crawls the internet looking for insights about the supply chain of advertising and seeks to shine a light of transparency on that supply chain. Following the acquisition, we have been working to embed Sincera data across Kokai, so our clients can have as much data and signal as possible about ad performance. But it doesn't stop there. In the coming months, we plan to relaunch their product for the AdTech community and offer a new version of Sincera called Open Sincera. This product will be free to advertisers, to agencies, to AdTech companies, to sellers and to publishers who want to better understand the supply chain and how to make it more efficient. Let's talk now about our progress on Kokai. The core of Kokai has been delivered and adoption is now ahead of schedule. Around two-thirds of our clients are now using it, and the bulk of the spend in our platform is now running through Kokai. We expect all clients to be using it by the end of the year. One thing about Kokai that I would like to underline. Whenever we go through a platform overhaul like this, and this is the biggest in our history, we are always trying to balance giving clients exactly what they want versus pushing the industry forward. We're in a tremendously privileged position of being the largest platform pointed at the open internet, looking across roughly 17 million ad opportunities a second, along with the most premium inventory and data sources in the world. From that vantage point, we know how marketers can get the most out of their campaigns, and we know how to help them utilize the power of programmatic. Bringing a broader, more strategic perspective to media buying has always been central to our approach, helping our clients and industry innovate and move forward. I'm confident that by the end of this year, we will reflect on Kokai as the most powerful buying platform the industry has ever seen, precisely because it combines client needs with a strong point of view on where value is shifting and how to deliver the most efficient return on ad spend. We will introduce the final major components of Kokai, including a revolutionary new approach for understanding and managing the performance of deals, one of the most important things we do to realize the value of programmatic. We will also continue to improve the polish, the navigation and the usability. But to be clear, Kokai has already proven itself and the results are fantastic. The injection of our industry-leading Koa AI tools across every aspect of our platform has been a game-changer, and we are just getting started. Let me outline a conundrum that marketers are currently facing, and I hear this from CMOs and agency leaders on an almost daily basis. Walled gardens are easy to use and marketers can use them for easy access to what I would call cheap reach, or put another way, let me reach as many people as possible as quickly and cheaply as possible, all as measured by those walled gardens themselves. The problem begins when the metrics provided by those walled gardens don't line up with actual business outcomes over time. So for example, walled garden measurement may tell an advertiser they've accounted for one million toothbrush sales this quarter, but they only actually sold half a million. Those measurement disparities over time create misalignment for marketers and the businesses they're supporting, all because of the attraction of cheap reach. This trend is a major driver of demand for open internet alternatives. But compared to the ease of walled gardens, where the supply chain is controlled by one company, the internet is more complex, but the outcomes, when we help marketers manage that complexity, are exponentially better. More and more marketers are recognizing this and they are embracing Kokai as a way to unlock the full value and performance potential of the open internet. One great example is Deutsche Telekom. They're running a streaming TV service called MagentaTV, and they use our platform to try to grow their subscriber base, working with their agency, emetriq. Using seed data from their existing customers, Deutsche Telekom was able to use the advanced AI tools in our Kokai platform to find new customers and to find the right ad impressions across display and CTV most relevant to reaching those new customers successfully. And the results were very impressive. They saw an 11x improvement in post-click conversions attributed to advertising and an 18x improvement in the cost of those conversions. Deutsche Telekom is now planning to use Kokai across more campaigns, a transition that is fairly typical as clients move from our previous platform Solimar to our newer, more advanced, AI-fueled platform, Kokai. They begin by testing Kokai on several initial campaigns, seeing meaningful performance improvements, and then expand Kokai's use across all of their campaigns. And across all verticals, clients that are adopting Kokai are realizing major benefits. For example, on average, clients that have shifted over have seen a 42% reduction in cost per unique reach. We're also working with clients beyond typical brand and reach metrics. Kokai is delivering on lower funnel KPIs, including 24% lower cost per conversion and 20% lower cost per acquisition. These improvements are helping unlock performance budgets from new and existing clients. And thanks to the work we've done in our data marketplace to increase the discoverability of third-party data, campaigns on Kokai use roughly 30% more data elements per impression. All of these efficiencies mean more dollars can be reinvested and put to work. Lastly, I mentioned in our last call that we've made significant upgrades across the company. In engineering, we now have over 100 scrums all shipping product every week. We've overhauled the product process and as a result, business and product and engineering are more in sync than they've been in years. We simplified our go-to-market teams and their org structures. While it is still early, we are already seeing green shoots. Our JBP pipeline and the number of JBPs in active contract negotiations are at all-time highs. We've hired a new COO, Vivek Kundra. He joined the company as our new Chief Operating Officer. Vivek may be a well-known name to many of you as he was the first-ever Chief Information Officer for the United States federal government back in 2009. But perhaps most relevant to us, he spent several years at Salesforce and as a key driver of growth at a time when they were pretty much the same size and scale as we are now. These kinds of appointments will help us achieve our very own high growth expectations in the years ahead. So let me close by reiterating that we are highly encouraged by the improvements to our business that led to our outperformance in the first quarter. As we continue to progress and improve as a company, we are confident in our ability to continue to outpace the market moving forward. But our eyes are on the horizon, and we maintain the assertion that we put in our business plan 16 years ago. The largest independent and objective DSP will command the lion's share of market share at end state. Today, we control less than 2% of the global advertising TAM, leaving us with an extraordinary runway for growth in front of us. So far this year, walled gardens have been put in check from governments. Regardless of the actual remedies, I believe this is a very important moment for the open internet, not just because the remedies may lead to a substantially fair marketplace in which The Trade Desk and everyone else competes on a more level footing, but also because this process has done a great deal to shine a light on the power of the open internet in contrast to the limitations of walled gardens. We have been winning in an unfair market. We are even more confident we can win in a fair market. While we can't control the macro environment, we continue to grow at a healthy pace and consistently generate strong EBITDA and free cash flow. The pace at which we're increasing our pipeline and signing new joint business plans indicates that we are becoming an indispensable partner in our clients' business growth, and we anticipate grabbing land. Over the rest of this year, depending on what the macro environment throws at us, we'll either grab land or accelerate growth. But either way, the destination on the horizon is the same. It's why we will never stop innovating. Kokai is perhaps our biggest engineering achievement yet, and it is helping clients get the full value of the open internet and manage the complexity of the open internet at the same time. Even as all of the features of Kokai are fully launched, we will continue to iterate and ship product every week. As I said, Kokai adoption now represents the majority of our spend, almost two-thirds, a significant acceleration from where we ended 2024, and clients are seeing major campaign improvements as a result. We continue to innovate and make the supply chain more efficient through products like OpenPath, and the enhancements we've started launching throughout our platform with the acquisition of Sincera. Our CTV and retail business continue to gain momentum, and brands are continuing to see tremendous value with the Walmart DSP. I know I said this earlier, but I want to say it again and be super clear. I have never been more optimistic and excited about the future of the open internet. Major trends are making the open internet more attractive to advertisers than ever, and The Trade Desk is bringing to market the kinds of innovations that will help marketers truly unlock the value in a way that will drive business growth and differentiation for them. And with that, I'll pass the baton to Laura, who will give you more color on the quarter.
Laura Schenkein: Thank you, Jeff, and good afternoon, everyone. We have started 2025 on a strong note. The upgrades we made at the end of 2024 are beginning to deliver results, putting us in a better position to capture expanding market opportunities. Kokai adoption accelerated exiting December, and our product and engineering teams are shipping [Technical Difficulty] growth remains strong, fueled by the continued shift away from linear TV and the expanding programmatic capabilities of the world's largest media companies. And advertisers are increasingly using retail data from our marketplace to tie ad spend to real-world sales. Our independence and objectivity continue to be key differentiators, especially in times of uncertainty, as brands seek trusted results from their partners. Turning to our results. Q1 revenue was $616 million, a 25% increase year-over-year. We generated $208 million of adjusted EBITDA during the quarter, representing a 34% margin. Our Sincera acquisition closed in Q1 and there is no revenue as a result of this acquisition. Our strong growth in Q1 was broad-based in terms of geography, channel and verticals. CTV growth was strong once again as it remains our largest and fastest growing advertising channel. In Q1, video, which includes CTV, represented a high 40s percentage share of our business and continues to grow as a percentage of our mix. Mobile represented a mid-30s percentage share of spend during the quarter, while display represented a low double-digit share, and audio represented around 5%. Geographically, North America represented about 88% of spend, and international represented about 12% spend for the first quarter. International growth again outpaced North America for the ninth quarter in a row. We continue to execute our growth playbook internationally, led by CTV. We remain optimistic that our business outside North America can continue to be a strong contributor to our overall growth this year and in the years to come. In terms of verticals that represent at least 1% of our spend, we saw double-digit growth in the majority of our verticals, with particularly strong growth in technology and computing and healthy living. Home and garden and personal finance were below average. We continue to see significant opportunities for us to gain share in all of the verticals we serve. Turning now to expenses. Q1 operating expenses, excluding stock-based compensation, were $433 million, up 23% from a year ago. During the quarter, we continued to make investments in our team and platform, particularly in areas like platform operations, as the AI/machine learning tools embedded in Kokai continued to drive greater campaign performance. Income tax expense was $25 million for the first quarter, driven primarily by our profitability and stock-based awards. Adjusted net income for the quarter was $165 million or $0.33 per fully diluted share. Net cash provided by operating activities was $291 million, and free cash flow was $230 million in Q1. DSOs exiting the quarter were 85 days, down one day from a year ago. DPOs were 70 days, consistent with a year ago. Our balance sheet had about $1.7 billion in cash, cash equivalents and short-term investments at the end of the quarter. We have no debt on the balance sheet. In Q1, we repurchased $386 million of our Class A common stock via our share repurchase program. Given our strong balance sheet and consistent cash flow generation, we plan to continue opportunistic share repurchases, while also offsetting dilution from employee stock issuances. As we turn to our second quarter outlook, we want to acknowledge the volatile macro backdrop, particularly its impact on large global brands. That said, we are encouraged by the strength of our underlying business, driven by continued progress on Kokai, our enhancements to our engineering and go-to-market teams, and a growing pipeline of joint business plans. We remain confident in the fundamental drivers of our revenue growth, especially given our track record of gaining market share during periods of economic volatility. Assuming the macro environment remains stable and we do not see deterioration in economic conditions, in Q2, we expect revenue to be at least $682 million, reflecting 17% year-over-year growth, also reflect the lapping of political ad spend, which contributed approximately 1% to our Q2 2024 revenue. We estimate adjusted EBITDA to be approximately $259 million in Q2. We continue to take a thoughtful approach to managing our investments and expect to remain opportunistic with our share repurchases. We are investing in our core areas like infrastructure and talent to support long-term growth. Our focus is on maintaining a balanced and efficient expense base, allowing us to stay agile and well positioned to capture share while retaining flexibility should macro conditions evolve. We remain the leading independent platform in a rapidly growing industry, delivering profitable growth. With strong execution across key initiatives such as CTV, retail media, international markets, Kokai, UID2, and OpenPath, we are confident in our ability to outpace the market and capitalize on the significant opportunities ahead. That concludes our prepared remarks. And with that, operator, let's open up the call for questions.
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] The first question comes from Shyam Patil with Susquehanna. Please proceed.
Shyam Patil: Hey, guys. Jeff, congrats on a very strong quarter, very strong start to the year. I had just one question. Can you elaborate on the progress that you're seeing from the product and go-to-market changes that you implemented towards the end of last year? I mean, it sounds like those efforts are beginning to gain traction and contributed pretty meaningfully to the strong start.
Jeff Green: Thanks, Shyam. Absolutely. So first, of course, Q1 was a very strong quarter for us and we showed our resilience. I think the team felt like they had something to prove, and I think we did it. I'm really proud of how well the team has executed. The upgrades that we made to our business did help contribute to our outperformance. And we -- of course, we are always making changes and always trying to improve, but we did so with a lot more substance and more upgrades, more changes than usual. They were not easy, but they definitely were worth it. In the current environment, we continue to be a source of vision and stability for our clients as they're trying to navigate, the uncertainty that's in front of them. But a couple of other just green shoots that we're seeing that I just wanted to highlight. Kokai adoption accelerated as we were exiting December, and now about two-thirds of our clients are now using Kokai, which is ahead of schedule. Of course, part of what we talked about in our last earnings report is a lot of effort to inject AI across the platform. And we've done that with a bigger step forward in the last quarter than we ever have at any point in our company history before. You'll remember that we started introducing Koa in 2017. But as a result of these investments in AI and upgrading our platform altogether and Kokai, campaign performance on Kokai continues to be exceptional. Kokai Is delivering on lower funnel KPIs, including 24% lower cost per conversion and 20% lower cost per acquisition. And these improvements are helping unlock performance and performance budgets from existing clients, but also from new clients that are a bit more focused on the performance side of things. Our product and engineering teams are more collaborative and effective than they've been in years. And we now have, as I mentioned in the prepared remarks, over 100 scrums and they're all shipping product weekly. The new reporting structures are working, and they're leading to more engagement with brands and agencies. We still have work to do. We have not realized all the fruits of those upgrades. There's still more to come on that, but the trend line is awesome and it's good enough to validate that we've made the right choices. Also, validating in that same way is our strong JBP pipeline. As we've highlighted before, over 40% of our spend is now under JBPs. And then you can think of JBPs as partnerships with long-term commitments and vision for what we'll do together, and that continues to grow 50% faster than overall spend. So when we put those together, our business grows faster. And so naturally, we're focused on more of those. But all-in-all, these changes put us in a better position to win market share this year and in the years ahead. There's more work to do, but I could not be more excited about our performance in Q1, and I'm even more excited about the opportunities ahead. And as I mentioned in our prepared remarks, our eye is on the horizon. So I'm very excited about our future and the opportunity of the open internet.
Chris Toth: Thanks, Shyam. Next question.
Operator: Next question comes from Vasily Karasyov. Please proceed.
Vasily Karasyov: Thank you. Good afternoon. Jeff, thank you very much for your comments regarding the guilty verdict in the Google trial. Obviously, there is a long process ahead and we don't know how long that will be. But in the meantime, if Google does de-emphasize their open internet businesses, as you posited, what exactly do you think will be the downstream implications for DSPs like The Trade Desk, the SSPs and all other, admittedly, numerous participants in the open internet value chain?
Jeff Green: Absolutely. Thanks so much for the question. So first, let me just set the table a little bit. As we mentioned, there have been two substantial verdicts for Google and antitrust trials were in both of them. They were found guilty on some portion of the charges. The most significant one for us was the most recent one, where they were found guilty of monopolizing the ad server and the SSP markets. As we said, they've been judge, jury, bailiff, court reporter, everything, and they will have to quit one of those jobs at least and that is going to make a more fair market. I would summarize that 2025 has been a very rough year for Google, but even for walled gardens as a whole. And I think the news yesterday about Apple's decision to focus more on AI search engines rather than Google's as a result of the remedy of that first trial is as significant as anything and it tells you what's to come. Which is Google has got to focus on its core business. And as they focus on the core business, which is largely about search, and that includes Gemini and also YouTube, that means they are going to be less focused on the open internet. And that means for us that we can go participate in the open internet with less competition, but even more significant than less competition is the fact that Google has been disrupting the competitive market that we would have thrived in even more. So I stand by what I've said again and again, including in the prepared remarks, that we were winning in an unfair market. And the market is getting fairer already and as a result, we believe that we can compete even better in a fair market. So we think that this is a major victory for the open internet. As I mentioned in the prepared remarks about Spotify and their sort of feud with Apple, if you will. I think again and again, we're seeing walled gardens and draconian tactics around auctions being put in check so that the market is more fair. And I believe that, that is very good for the open internet. And I don't believe there's any player that better represents the interest of the open internet than The Trade Desk, and I don't think there's a company that will benefit more from these changes than us as well. But thanks for the question, Vasily.
Vasily Karasyov: Thank you.
Operator: The next question comes from Justin Patterson with KeyBanc. Please proceed.
Justin Patterson: Great. Thanks for the question, and appreciate all the details regarding the quarter. Just on the Q2 guidance. With many large brands speaking to increased uncertainty in their reports, how did you think about that in your Q2 guidance? And how are you managing the business into the back half of the year where visibility is undoubtedly more clouded than it was at the start of the year? Thank you.
Jeff Green: Thanks, Justin. Appreciate the question. So first, in order to talk about Q2 guide, I have to just first point to what we just reported about Q1. And I'm just so proud of our team's performance, their execution. They -- like I said, I felt like they went into this quarter feeling like they had something to prove, and they did. I'm just really proud of our team. As I mentioned before, Q4 was relatively stable, although there were some signs of volatility, starting and ending with the contentious election cycle. But some pressure has intensified in Q1 with some growing concerns about macro uncertainty from some of our clients. But of course, we have our eye on the horizon, and we believe that we will grab land in the rest of the year or accelerate growth and potentially both. So we think that for the rest of the year, our focus has to be on recognizing that large brands are facing comparatively tough times, and we need to be there to help them navigate that and be a source of strategic consulting for them as they are trying to figure out how to navigate what is certainly unprecedented. But because of our objectivity and because of the fact that we've aligned our interest with them and have been building trust for years, we're in a very strong position. And with the macro environment as it relates to the open internet being more positive than it's ever been, those together, plus what's happening in streaming, which is also another secular tailwind that we've talked about extensively, we think that puts us in a good position to either grab land or accelerate growth. Of course, we also have to talk about our focus on upgrading our products across the board. There's still lots to -- lots of exciting things coming out of Kokai and things that we continue to upgrade. So there are a few major pieces left that we expect to ship in the very near future. So we're extremely excited about all the upgrades that are coming and all the things that we're building. And honestly, our excitement has gone up as we see a more competitive landscape and an opportunity for us to compete and put products in market to compete. Of course, that's not independent of what I would even call a third category, which is supply chain. And there's just -- because of this increased competition and a better ecosystem, there's just so much opportunity to innovate and make the supply chain more efficient, especially when we continue to invest in AI products. There's just so much that the AI investments can do to capitalize on improving supply chain. So there's just so much there. So as long as the market is competitive, and it's heading in that direction, we believe at end state, the objective, focused DSP will have the lion's share of market share. And we believe that's where we're heading and we just got to keep executing. Thank you.
Operator: Next question comes from Matt Swanson with RBC. Please proceed.
Matt Swanson: Hey. Thank you for taking my questions. Congrats on the quarter. I'm sure it felt really good to get this press release out. Jeff, on Amazon, it's got a lot of attention recently, both in our investor meetings, but also in the press, specifically around its DSP and the push into Prime Video ads. I guess maybe broadly, how are you thinking about the competitive landscape right now? And then specific to Amazon, are you seeing any noticeable shifts in how Amazon is showing up as a competitor? And then maybe a half question off that. Does Amazon and their datasets in CTV increase the need for other publishers to find and work more closely with a partner like Trade Desk to compete effectively?
Jeff Green: Thanks so much for the question. I especially like the last part of it because I think the premise of the question is just spot on. So let me just talk a little bit about Amazon and our competition with Amazon. So first, the -- the TAM is massive and there will be lots of players that I think have room to do well in this space. So I don't think anybody is going to own all of that TAM. So I think there's opportunity for a healthy competition. But as I mentioned in the last comment as well as in the prepared remarks, I believe the objective DSP that aligns its interest with buyers will win the lion's share of market share, and there is no way that that is Amazon. Our CTV growth is faster than Amazon's advertising growth, and we're very clear on what Amazon's playbook is. It's actually very similar to the Google playbook. Google is primarily focused on search/Gemini and YouTube. And so DV360 has largely become a tool to buy YouTube. That is their focus, that is their bias in terms of their incentives as well as what moves the needle on a P&L as big as Google's. And Amazon, you can debate whether their core business is retail or their core business is AWS. But in either case, the Prime Video supports retail, and it poses a threat to their core business to be too focused on the open internet and to spend on anything besides Prime Video. They're building this product to sell more Prime Video ads. That's not objective. And then of course, you have to add to the fact that they compete with most advertisers on something. So unlike Google, where they don't have products that compete with all of them, and especially when you look at so many companies that are in CPG or other things that spend a lot in advertising, Amazon is competing with [Technical Difficulty]. I think it puts them in a very difficult position because of the amount of the Fortune 500 companies across food, retail, cloud, delivery and so many others. And then especially in big tech, they're competing with all of them. And then there's already a big concern about the amount of data that exists inside of AWS and how much that is put at risk. And so that's why I say when you say -- when you recognize that AWS may be their core business, putting that at risk over advertising dollars to buy the open internet is not likely to happen. Which is why in a way, I don't really consider them a competitor. While they do call it a DSP, that DSP is really there as a buying tool for Prime Video. I do think it's very reasonable to expect that at some point, Prime Video will open up its inventory to additional demand because it's a little bit different than YouTube, where there's so much supply and it's lower quality. Prime Video is obviously more professional content that might welcome additional demand. But to the last part of your question, I think it's really important to consider that, which is, why would another content owner -- and, we are always talking about how -- the real promise of the open internet is the fact that all the greatest stuff on the open internet, whether it's all of the world's music, or whether it's all the world's movies, or television, or journalism or sports, all of that is monetized in the open internet. Why would those players, why would a Disney, or a Peacock, or a Paramount, who is also competing with them on making content, partner with a company that is also trying to put its own ads ahead of that? So I absolutely believe that those content companies are leaning into our partnerships with them in part because we don't compete with them. One of the ways that we've been so successful is that all the different places and people that we can partner with partner with us because they know who we are and what we do and what we stand for, unlike those that are, in some cases, being more duplicitous or self-serving. There are so many things that I would be doing differently if I were running the DSP at Amazon and focused on the open internet. It is so clear that that is not their focus, which is why, in a way, I don't consider competition. But we're, of course, all in the advertising space. It's massive TAM. We're going to go chase the lion's share. We think we'll earn it; we just have to keep executing. But that's going to mostly be up to us and continuing to execute on the things that we are focused on rather than getting distracted by somebody like Amazon. Thank you.
Operator: Next question comes from Jessica Reif Ehrlich with Bank of America. Please proceed.
Jessica Reif Ehrlich: Thank you. Jeff, the Upfront is next week and you work with most of these publishers, some via OpenPath. Can you talk about the progress that you're seeing in OpenPath, I noticed several new names in today's press release, the improvement that you're seeing from both sides, both you and the publishers, and maybe give us your overall expectations for how the Upfront will play out. Thank you.
Jeff Green: You bet. So let's start with the Upfront. First, right now we're facing a degree of uncertainty that is unique to upfronts of the past. Of course, COVID in lots of ways was much, much worse. But aside from moments like that where there's uncertainty, when you go into the Upfront and there's a higher degree of uncertainty, it's harder to want to commit to put dollars to work at a certain rate for the course of an entire year. So instead, what happens at the upfronts is people go in with a commitment to try or to put dollars in a more agile setting and there is nothing more than programmatic. So we anticipate that this Upfront will be a little bit weaker for linear and a little bit stronger for programmatic and digital as a result of the uncertainty that the world is facing right now. So we think all of that is very good for us. I do believe that you're going to see more and more move towards a more forward market like way of doing things that is more sophisticated than the upfronts that were invented in the 1960s and haven't progressed that much as it relates to the specifics of the way linear deals are done. Because I believe that the digital ecosystem is so much more conducive to a healthy and sophisticated forward market, we are laying groundwork in Kokai for those types of things. And one of the big products that remains for us to ship and we're releasing very shortly is a product called Deal Desk that will lay groundwork for us to get more forward market-like deals and create a lot more sophistication and a lot more performance out of upfronts or forward market than what currently exists in the upfronts. As it relates to OpenPath itself, it's been pretty amazing. We've just been in market for a couple of years now, but we've been obsessed with improving the visibility and transparency of our supply chain. And really what we're trying to do is make certain that the supply chain is efficient. So if you just zoom out, really all we're trying to do is make it so that there aren't so many middlemen, so many taxes, especially those that don't add more value than they extract, so that the open internet isn't operating at a disadvantage. Because we always look at this as, to a large extent, this is the open internet competing against walled gardens. And walled gardens lose on objectivity, they lose on transparency, but in some cases, they've won on supply chain efficiency because they control it all. So even with really large take rates that they all have, their cost of goods sold is so low that they can make very healthy margins, and then they have short supply chains because they control those too. So in order to compete with that, we need a supply chain that is quite efficient. So even though we are just early in the process and we're using that to some extent as a stalking horse as well as the canary in the coal mine, if you will, the results have been phenomenal. So the Arena Group increased their fill rate by 4x and their revenue by 79% on OpenPath. The New York Post increased its fill rate by 8x and their revenue by 97%. And we have some large players like Spotify and Fox that are integrating right now, and we have hundreds of others like Reuters, The Washington Post, Dotdash Meredith, so many others. And we don't need OpenPath to be 100% of the inventory to get all the benefits. We just need the visibility from it so that we can make certain that we're steering the supply chains in the right way. So it is doing its job absolutely. And one way or another, we will make certain that the supply chain gets more efficient so that the open internet and market competition wins over the walled garden way of doing business. And because of all the changes that have happened in our space in the last few months, we think we're in a better position to capitalize on a more efficient supply chain than we ever have in the past. And whether that's because of Google verdict, or whether that's because of our own efforts with OpenPath, whether that's because of the injection of AI into our core products like Kokai, or into things like supply path optimization and OpenPath, all of those are bearing fruit. So when they work together, the open internet is in a better position than I think any walled garden. Thanks, Jessica [ph].
Operator: Kelley with Stifel. Please proceed.
Mark Kelley: Great. Thanks very much. Jeff, the first question -- I appreciated the commentary on the Amazon competition. I do want to ask you about DV360 because it does seem like they, continue to invest in that product with more retail media functionality and things like that. I guess, do you see like a byproduct of the DOJ suit being Google kind of stepping on the gas on the DSP side maybe or just would love to get your thoughts there. And then Laura, the -- in Q1, the sequential decline was a lot better than what we typically see in Q1. Would it be possible to give us political in Q1, because that's obviously healthy sequential decline given the election cycle? Thank you.
Jeff Green: Great. Well, I'll take the first part, and then Laura, you can figure out how to answer the last portion. But as it relates to DV360, if I just look at this through a strategic lens, and especially what we learned from what was made public during the trials that they recently went through, the majority of their spend is going to buying media on YouTube. And to me that makes sense for them because their cost of goods sold in YouTube is close to zero. It's an amazing asset for them, but it's not the open internet and certainly, they're not in a position to objectively buy the rest of the open internet. So when you talk about like bringing retail data on a retail partnership, that's all about trying to monetize -- in my view, that's about trying to monetize the almost unlimited supply that they have in YouTube. And so if they're able to monetize that better by adding retail media, they will. But we're not that far away from DV360 just being a buying tool for YouTube. And if I were them, that's what I would seriously consider doing. All the antitrust headaches come from participating in the open internet and pretending to be objective about what you buy. Why don't just be like Facebook and say, our properties are awesome and the best and we're just going to focus on monetizing those. I think there's [Technical Difficulty] end up and then we'll monetize the open internet and they'll monetize YouTube. I think that's almost what it is already. To your point, Laura?
Laura Schenkein: Yeah. Thanks, Mark. Really appreciate the question. I would say we're really proud of what we delivered in Q1. It was such a strong quarter for us. And I would attribute the strength to the uptake in Kokai adoption and the early momentum from the upgrades that we talked about earlier in the year related to our business that we made in Q4. I wouldn't say that the Q4 to Q1 sequential strength was driven by political simply because, we exited a presidential cycle in the U.S., entered 2025 when we're not in an off-cycle and don't have much contribution. So it's more just strengths in the changes we're making to the business.
Mark Kelley: Perfect. Thank you, both.
Jeff Green: Thanks, Mark.
Operator: We have reached the end of the conference. This concludes today's conference, and you may disconnect your lines at this time. Thank you for your participation.